Operator: Greetings, and welcome to the Plug Power First Quarter 2020 Earnings Conference Call. [Operator Instructions]
 As a reminder, this conference is being recorded. It's now my pleasure to introduce your host, Teal Hoyos. Please go ahead, Teal. 
Teal Vivacqua: Thank you. Good afternoon, and welcome to the Plug Power 2020 First Quarter Earnings Call. This call will include forward-looking statements. We intend these forward-looking statements to be covered by the safe harbor provisions for forward-looking statements contained in Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. We believe that it is important to communicate our future expectations to investors. However, investors are cautioned not to unduly rely on forward-looking statements because they involve risks and uncertainties, and actual results may differ materially from those discussed as a result of various factors, including, but not limited to, risks and uncertainties discussed under Item 1A, Risk Factors, in our annual report on Form 10-K for the fiscal year ending December 31, 2019, as well as other reports we file from time to time with the SEC.
 These forward-looking statements speak only as of the day in which they were made, and we do not undertake or intend to update any forward-looking statements after this call.
 At this point, I would like to turn the call over to Plug Power's CEO, Andy Marsh. 
Andrew Marsh: Good afternoon, everyone, and thank you for joining the first quarter Plug Power conference call. Our shareholder letter issued today provides highlights for the quarter and our prospects for the coming year. Let me just start by reminding you of a few highlights in the letter. Like most organizations, we place the safety of our employees first. Our field technicians and manufacturing workers have been engaged supporting our essential customers every day. Our engineering administrators have become quite effective working from home. A recent survey of our employees indicate 98% were well informed about our safety measures and 95% agree with the steps we have taken as a management team. We have been ahead of the curve in protecting employees while serving our customers.
 The work in supporting our essential customers in food retails and Internet sales has been stellar. Our business is essential in distributing retail food in the U.S. During the crisis, more than 30% of the food on people's table in the United States moved through Plug Power's products. We've also seen a seasonal increase for Internet retail customers. With this increased workload, we have been able to keep our uptime at our customer's site to well over 99%. This crisis has highlighted the value of our solution, what it brings to customers. And during the past quarter, we've seen unforeseen orders that accelerate deployments with some of these customers. This allows us to comfortably reiterate our guidance of $300 million in gross bookings for the year and $20 million in EBITDA. I also believe we are in a sector that will remain successful during and post this crisis. I and many others believe online shopping will accelerate as a result this experience, a segment our solutions brings the most value.
 Also, we continue to execute on our 5-year plan. We've released a high-power 125-kilowatt stack, well positions Plug for on-road and large-scale backup power markets. Even during these unusual times, discussion and some testing continues. As you can imagine, we're quite excited about our plans as we execute on our hydrogen strategy, that was laid out at the Plug Power Symposium this past September.
 Today, we announced the pending transaction to acquire United Hydrogen. United Hydrogen operates a low-carbon 6.5-ton liquid hydrogen plant today that will soon be expanded to 10-ton. This represents 25% of our hydrogen usage by year-end and will support improvements in our hydrogen margins. We also have a letter of intent to acquire an electrolyzer company. We plan to build this business into one of the leading electrolyzer companies in the world. If you recall, only a few years ago, Plug took a massive MEA company that is now the largest manufacturers of MEAs in the world. We plan to do the same with this acquisition.
 Finally, you may have seen that Generate Capital, our primary debt provider, has doubled our line of credit while simultaneously dropping our interest rates by 3.5%. This is a testimony that a debt provider that knows the company well in these incredibly difficult times recognize that Plug Power will continue to thrive and is willing to take these unusual success steps to support the continued growth of Plug Power. Paul and I are now more than happy to take your questions. 
Operator: [Operator Instructions] Our first question today is coming from Colin Rusch from Oppenheimer. 
Colin Rusch: Well done on the execution this quarter. So the first question is really about the guidance. Obviously, you guys had some pretty great -- pretty good visibility coming out of the fourth quarter into revenue this year. So I wanted to get an update on the mix of customers underlying that guidance, and the sort of visibility you have to support that from an order perspective at this point. 
Andrew Marsh: Sure, Colin. So at the moment, we have $290 million of the $300 million [ in-house ]. So we're very, very comfortable with the guidance. To give you a feel, usually, at this time, it's about 75% of what we expect. What we've seen since the last call is there has been somewhat a change, I'll say, in the mix. I mentioned that food retail and as well as Internet retail, that we have received new orders during the first quarter. While we see a slowdown, not a cancellation but a slowdown of deployment for some of our auto companies that we do business with, which is not surprising. So we have a great deal of visibility and a great deal of confidence in the numbers. And just when I look at the funnel to allow us to close the $10 million gap, the confidence level is, fair to say, extremely high. 
Colin Rusch: Perfect. And then looking at the balance sheet, it's good to see some additional liquidity there and flexibility. Obviously, you guys have a certain amount of restricted cash still on the book. Can you talk a little bit about your options for reducing that level of restricted cash? And how much progress you've made on moving that forward? 
Andrew Marsh: Sure, Colin. I'm going to let Paul take that question. Paul? 
Paul Middleton: Sure, Andy. And thanks, Colin. I think -- well, the good news is, as we've disclosed previously, we've signed into a much more robust and a better structure with one of the key customers that these program financings are associated with. And now we're already making significant progress in that we get 70%, 80% of the cash day 1 in those transactions.
 There's still some of it that gets set aside that we kind of equate to the long-term service piece. But the majority of the proceeds are available to us day 1. And I think what you're going to see -- and even new customers that we're working with, we've got structures that we're using that are kind of like vendor financing programs where we're getting -- going to get the majority of that cash upfront, too. So I think you're definitely going to see that number come down over the near term. With the offset of that fact that there will be some incremental layers just as we do more programs. And since most of the customers, including those in the PPA program, continue to grow their scope, there will be some upward amounts. But in general, we're in a much better position today with these structures and continue to make progress on putting forth structures that get us the majority of the cash as we close these transactions. 
Colin Rusch: Okay. That's helpful. And then the final one, obviously, you're not disclosing terms around these acquisitions, but just the fact that you're getting close. Can you give us a sense of order of magnitude and plans around financing those? Obviously, your public currency has had a pretty good run, but are you expecting to do this with all cash? Are you expecting to do it with all equity? Give us a sense of kind of your optionality and thought process at this point. 
Andrew Marsh: So I think, Colin, it's fair to say that obviously, these transactions have not closed yet. But I think it's fair to say that it will be a combination of cash, shares as well as debt. 
Operator: Our next question today is coming from Jeff Osborne from Cowen & Company. 
Jeffrey Osborne: A couple of questions. One, in 2Q, Andy, I was just curious in the current quarter that we're in, were there any limitations around getting into customer sites, around setting up new distribution centers that we should be aware of? I know you're reiterating guidance for the year, but I wasn't sure if it's more back-end loaded because of social distancing. 
Andrew Marsh: Actually, it's a good question, Jeff. And actually, the second and third quarters were busier than -- especially the third quarter, than we expected at the time. Luckily, if you start thinking about food distribution, Internet distribution, often these are in areas which are low-population sites and the challenges of social distancing aren't as difficult. Usually, they're located 60 to 100 miles outside major cities.
 We're -- over the next 2 quarters, I bet it's 20 sites we're bringing on, Jeff. Many of those permits we've actually done virtual, where we've used FaceTimes and other elements working with the local authorities. So we haven't -- it's a really good question. It's one -- I've seen schedules move 2, 3 weeks out, but then I've seen activities move in.
 As I mentioned before, the auto companies, we had a couple of programs going on. We have one with Chrysler that will continue. And that obviously got pushed out a bit because of the crisis here. But I think geographically, where these sites are, in combination, you can do a lot of it. The social distancing and the discipline at these sites is probably not as challenging since we do a lot of these builds within Latham itself where we build them on scheds, Jeff, which really limits the level of work that has to be done on the site. So it is something that, especially in the early days of the crisis, I was really worried about. But it seems things are running relatively smooth. 
Jeffrey Osborne: That's great to hear. I just had 3 other ones. So I appreciate the detailed response, so you can certainly be briefer. So a couple of quick ones here. The commercial vehicle strategy, Lightning Systems, et cetera, do you see yourself in 3 years selling direct to like an emerging OEM such as them? Or do you want to be selling to a Tier 1 supplier? I'm just trying to think about how the model changes for you relative to -- directly to the end user, like an Amazon or a Walmart or a Home Depot? 
Andrew Marsh: So I would -- we have a good relationship -- so I'll answer quick, Jeff. So the answer to both of them is yes. We see ourselves selling directly to OEMs, Tier 1s as well as selling to integrators. And one of the advantages of the relationships with people like Walmart and Amazon, for example, is that they're more than willing to introduce us to the Tier 1 OEMs and recommend us as well as their preferred integrators. 
Jeffrey Osborne: Got it. That's helpful. And then on Generate, maybe this is out there in the 10-Q as that comes out. But can you talk about the metrics that they looked at to double the availability and obviously lower the rate? Is there any covenants that we need to be aware of around that facility itself? 
Andrew Marsh: I'll let Paul take that one, Jeff. Paul? 
Paul Middleton: Yes. Well, they have a formula that they -- the one -- we do have a covenant that looks in our ABL value of our assets, and they also have an advanced formula that gets our restricted cash pools. But to be honest, I mean, I think they're a unique fund because unlike a lot of vendors, we really don't have a lot of covenants and restrictions on our facility. They really get into understanding the enterprise and our pipeline and the markets and the products that we sell, and it's just basically the faith that they have in us and in what we're doing and the continued growth that we've continued to show and the growth of our overall portfolio. So they recognize that as we continue to grow this company, now passing into positive EBITDAs area and continue to grow from there, that we rightfully should be able to access a lower cost of capital structure. So this is part recognition of that as well as trying to make sure they're positioned to be a part of this ongoing opportunity, which we're excited to have them be a part of. 
Jeffrey Osborne: Definitely makes sense. And my last question, probably for you, Andy. On the electrolyzer side, can you just talk about the technology itself? There's been a lot of developments in terms of multi-megawatt scale, a lot of price compression in that industry, debates around alkaline versus PEM. How can -- the other acquisitions you've done, I would sort of put in the camp of you bought a diamond in the rough on the cheap and then really integrated them well to become more vertically integrated and drive down costs. I don't get the sense that, that is what you're doing here, given that you're levering up and using cash and stock. So can you just talk about how you assessed the technology choices out there and future-proofing the cost curve because there's been a lot of developments in that sector in particular? 
Andrew Marsh: Sure. So Jeff, when we took a look over my dozen year at Plug Power, I usually always start with what your customers want, and my leading customers, and we're doing some electrolyzer deployments this year. And when we look at that, our customers want to have a greener footprint. And that certainly was an opportunity when we looked at the cell products through our present channels.
 We also took a step back and thought about what an electrolyzer really is. And it's a fuel cell essentially running in reverse. And if you take a look at the capabilities we have in MEA manufacturing, in system integration, it looks a lot like what we've got. And that we can help drive down the cost considerably using the buying power that we've developed. We believe that green hydrogen and the cost of electrolyzers will continue to go down. But because of our scale, we believe we are in a very strong position to be a leader. And look, the way I look at it also, that there's a huge opportunity, as you know, for electrolyzers globally, especially in Europe. The European Commission has announced plans between Europe and Africa to deploy over 80 gigawatts of electrolyzers by 2030. And I think with our fundamental cost advantage because of scale, because of our marketing reach with our sales teams, especially in the United States and Africa -- the United States and Europe, as well as our relationships with customers who want greener solutions, it looks like it's just a natural fit. 
Operator: Our next question is coming from Chris Van Horn from B. Riley FBR. 
Christopher Van Horn: So I just want to touch on the 2024 targets. It seems like those are still intact. And I want to just get an update, do you still see kind of the similar breakout in terms of your market opportunity that you highlighted from commercial vehicles, et cetera? And then was acquisitions part of that plan? Or were these -- were the acquisitions that you're thinking about now kind of incremental to that? 
Andrew Marsh: So the answer to that question, Chris, is when I look at -- let me go through these, there's a couple of questions there. When I look at the 2024 plan, I probably would almost bundle large-scale backup power with on-road vehicles, both of which use a similar technology. And between those segments, we identified about $0.25 billion by 2024. And probably my perspective at the moment is that large-scale backup power may be larger than I expected, and that on-road vehicles may be slightly lower than I expected, just because of the engagement we've been having and the speed of developments in those 2 areas. So that's kind of my view there.
 When I look at the total commitment for 2024, part of the margin improvement built in was associated with having our own ability to generate hydrogen. So an acquisition like United and further deployments really help us more on margin side. I think -- as we talked about the electrolyzer market and as that develops, I think we'll probably be sharing updated targets throughout the year about what we think is possible. 
Christopher Van Horn: Great. Got it. And then part of your value proposition in our view is that you offer cost savings and, certainly, given the current environment, are you having more conversations around how you can be a cost saver for some of your customers? And have you kind of seen those increase over the past couple of weeks as we sort of start to emerge from these shutdowns? 
Andrew Marsh: Chris, with the customers that I've been busiest with during the past 1.5 months, those added 4 new sites to my deployments this year to accelerate. And they did that if you take a look at food distribution. So some of these facilities are putting out 30% more food than they did even at the Christmas time period. And they really -- I think there is a recognition, without fuel cells and Plug Power's products, that really wouldn't have been possible. 
Operator: Our next question today comes from Amit Dayal from H.C. Wainwright. 
Amit Dayal: Can you give us a time frame for when these 2 acquisitions that you are looking into potentially could close? 
Andrew Marsh: We would expect by the end of the second quarter, Amit. Yes, the end of the second quarter. 
Amit Dayal: Understood. And just at a high level, Andy, if you could share what the margins in these businesses look like. I know you are indicating they're going to be accretive, but if you could give us any color on the margins in this business and how you can potentially improve those if they're not at scale yet. 
Andrew Marsh: So one way to start thinking about United Hydrogen, at least during the near term, is to really be significant in improving the margins of our hydrogen business. If you remember, Amit, at the Plug Power Symposium, we outlined that we expect hydrogen margins by 2024 will achieve over 30%. And that's -- this will be an incremental step in helping to achieve those higher margins. Eventually, I'm sure we'll look at leveraging this capability to support other customers and other industries. The hardware business itself, we've demonstrated that if you look at this quarter's 35% and we expect margins in that range going forward. 
Amit Dayal: Understood. And then just from a balance sheet perspective, if these acquisitions close and you expand those businesses or business lines, what kind of a balance sheet need will you have relative to the business model today? 
Andrew Marsh: I think that as I mentioned before, the present -- our present position well finances our current business in material handling. I think that in some of these areas, there will be partnerships, which we will leverage, especially in hydrogen, which could reduce capital needs. And so I think when you look at this first deal, this transaction deal with Generate Capital, it's an indication of some of our thought process about what the future balance sheet will look like.
 And look, as the -- business continues to grow, and we're very, very ambitious, even beyond $1 billion. To grow requires capital, and the capital can come from a wide variety, partnerships, through debt and through the equity. And we'll be weighing each of them based on what we think maximizes the returns for the shareholders of Plug Power. 
Operator: [Operator Instructions] Our next question is coming from Eric Stine from Craig-Hallum. 
Eric Stine: We'll just sneak a few in here at the end. Just on the hydrogen piece, on the electrolyzers, just any thoughts on how you think that expands the marketability to address other customers that maybe in the past had not been economical. And I know in the past you had a partnership with HyGear a few years back, and we're looking to go down the reformer path as well. Curious if electrolyzers are kind of the new path there. 
Andrew Marsh: Yes. I mean, look, Eric, as I mentioned before, I think one of our core strengths is that we listen to customers. And our customer base today, in many cases, have aggressive sustainability goals, i.e., someone like Amazon. And that we've taken this path because we've been encouraged to head in this direction. But we also see in this market opportunity to expand our reach not only in traditional markets, but places where they're looking to replace reformers today like in fertilizer manufacturing. We see huge opportunities for selling hydrogen. And we -- and so that kind of has been -- the first driver is my customers, do they want it? My second driver is there's a huge market opportunity as indicated by the reports you see being issued by people like Bloomberg, McKinsey and others about how big this market opportunity is long term. 
Eric Stine: Got it. No, that's helpful. And with United... 
Andrew Marsh: Yes. I should mention, Eric, the nice thing is United also has really been the first company in 20 years in the United States to deploy a successful liquefier. And if you start thinking about getting renewable behind-the-meter at $0.02 a kilowatt-hour and using the United liquefier technology, you have extremely low-cost hydrogen. And that's really is also driven -- we see that there's a marriage and mix between the 2. 
Eric Stine: Yes. No, that makes sense. I guess my follow-up was just on United. I mean, clearly, you've got very significant hydrogen demand plans out in the future, I mean -- so is it safe to assume that this is a first step because clearly, you've got designs on much bigger? 
Andrew Marsh: They are. And Eric, it doesn't mean necessarily the next activity we do in this area we do by ourselves. We certainly would love to deal with a partner. And so we do see rather broad opportunities. That partner could be someone who's a customer today as well as an industrial gas company or someone who's new to this industry. 
Eric Stine: Got it. Okay. Maybe last one for me. I mean, obviously, you're showing that the business in the face of COVID is very resilient. You did call out, though, that it did have an impact on the service side in Q1. Maybe you can just talk about specific ways that it did impact the business. And do you think you have it handled? Is it something that's going to last for a little bit as long as we're in this current environment? 
Andrew Marsh: So Eric, when I look at it -- because of COVID, I've actually improved the uptime of my units dramatically. And I did make investments that if you look at the end of the fourth quarter, we had about 98% uptime at our customers' site. We've actually, at the moment, we're over 99.5%. And when you think about that difference, that's a big number, a big change. And that took an investment.
 And now I really -- when we look at it, we're really in maintenance mode as far as keeping that level as well as the fact that we continue to make improvements in the units themselves which we believe, ultimately, and we'll start really seeing, I think, the impact in the fourth quarter, really significant movement in our service margins. 
Eric Stine: Okay. But in terms of first quarter, I mean, was it a case of -- I mean you kind of mentioned that it's not an issue of increased costs due to access of facilities or any of that. 
Andrew Marsh: No. It really wasn't. Eric, it was really a cost associated with -- we really made sure every unit was up and running perfectly. And I think that delta improvements from 98% to 99.5% and having the fleet completely cleaned up was really where most of the costs came from. Now we're kind of in a steady-state mode. 
Operator: Our next question today is coming from Jed Dorsheimer from Canaccord Genuity. 
Jonathan Dorsheimer: A lot have been asked, but just a couple, if I could. The first, Andy, you touched on it a bit, but just wanted to dig in with the acquisition, particularly given the fact that you had already owned 30%, was it the concern that this would fall into the hands of another party or really a desire to scale the business in kind of the 1 plus 1 equals 3 the motivation for doing this? 
Andrew Marsh: Sure. Sure, Jed. I think since -- especially since the Plug Power Symposium, we've been really clear that we want to migrate more into the generation business, and that could have a dramatic impact on our margins for hydrogen. And the relationship with United has gone on -- has been for a number of years. And we thought it was time, 10 tons of hydrogen, as I mentioned, represents about 25% of our usage. And we're really looking to drive improvements in our hydrogen margins and leverage the relationships that we've built. 
Jonathan Dorsheimer: Got it. That's helpful. So with that, on the generation side, I mean, we've just seen that Daimler and Volvo announced strategic sort of 10-year partnership around hydrogen for trucking. I'm curious what this does to your TAM. I don't remember if you discussed that at the symposium, but it would seem like it would vastly expand that. 
Andrew Marsh: I mean I think if you take a bigger picture back, Jed, I think that's a statement of the vitality of this industry. That -- today, I was on a Reuters webinar with the leadership in Air Liquide, Hyundai and Plug representing the United States. I think that we believe that by 2050, 14% of U.S. energy and 18% of global energy is going to come from hydrogen. As you know, fuel cells, I think, are the vehicles of choice for on-road trucking. And I think Plug Power -- this TAM for Plug Power and the TAM for the industry, I think, will continue to expand each year. And we have a nice leadership position. The biggest user of liquid hydrogen in the world. Now we're becoming a significant generator of it. We're going to be making our own green hydrogen. So I think all of these are positive steps. 
Jonathan Dorsheimer: Great. And then I just have a question in the near term on execution. I know you had mentioned that this business is going to be accretive. It does look like the core Plug business that operational costs are running a bit higher. I'm wondering if that's sort of the -- if we should be viewing this as kind of a steady state for the business or whether or not Q1 was an anomaly. 
Andrew Marsh: Jed, I will let Paul take that question. 
Paul Middleton: Thanks, Andy. Yes, I think I would -- I think if you look at it sequentially from the back half of last year until now, it's relatively consistent. And I think from a run rate standpoint, that's in that range, in that 20% to 21% range is fair from an OpEx standpoint. It's a fair standard to use or estimate proxy. But I think as we continue to grow the overall top line both with organic and inorganic, you're going to see the continued leverage trends that you have been seeing and will continue to see as we go forward. 
Operator: Our next question today is coming from Craig Irwin from ROTH Capital Partners. 
Craig Irwin: Andy, one thing that -- hope you guys are all well. One thing that I wanted to ask is the update on the pedestal customers, the plus or minus 3, 4 needed to get to your $700 million GenDrive forklift revenue by 2024. Have any of those customers maybe engaged with your current pedestal customers to observe the peak capacity that they've been able to demonstrate in this unusual environment? The e-commerce customer, obviously, is really benefiting with 10% more throughput. And then Walmart has said publicly that grocery demand is up 400% year-over-year. Has that drawn attention from some of these other pedestal customers? And are you maybe seeing that influence their decision process? 
Andrew Marsh: Craig, I think you actually are hitting on a good point. The customers we're engaging with, they were pedestal customers. And I'm thinking of one in Europe now, who is one of the main food delivery companies in France, who has only one site with us. And I was on the phone yesterday with our French sales team, and they were explaining that they are really looking at the value of that one site of having fuel cells. And that they'll have some rather aggressive expansion plans. I see the same going on in the United States with some of the 2 or 3 largest retail customers.
 So I think that, as I said before, I see that the success we've had in food retail is, I think, with our present customers, they've taken notice. I've told you that I've got 4 new sites for this year, which is really unusual because they're usually all kind of locked in before the year begins. And that I would just say, I remain rather bullish that over the next 6 to 9 months, we'll be able to announce the fourth pedestal customer. 
Craig Irwin: Excellent, excellent. Then if I could ask a question about United Hydrogen, one of the things that really impacts the economics of their liquefaction facility is the fact that it's located on the site Olin Corporation uses for chlorine production, right, and hydrogen is a by-product there. United Hydrogen has a long-term supply agreement with Olin Corporation. But can you maybe describe for us your confidence that you would inherit the same positive economics with Olin? And can you share with us the duration of this agreement? Is this something that is a multi-decade agreement? Or is this something where we could look for a probable negotiation within the next single-digit number of years? 
Andrew Marsh: So the contract is assignable. And Craig, we've already spoken with Olin, and it's a multi-decade agreement. 
Craig Irwin: Excellent. And then are there potential expansion opportunities with Olin, given that this is already a pretty constructive relationship? 
Andrew Marsh: I'll just say, yes. 
Craig Irwin: Love it. Congratulations. 
Andrew Marsh: Thank you, Craig. 
Craig Irwin: Yes. Congratulations on the strong quarter, Andy. 
Andrew Marsh: Thanks, Craig. 
Operator: Our next question today is coming from Ethan Ellison from Morgan Stanley. 
Ethan Ellison: This is Ethan on for Stephen Byrd. I just have a couple of higher level market sizing questions, sort of building off your comments around TAM. I guess in terms of the new greenfield warehouse and distribution center space, I think where Plug's value proposition may be the most compelling. How do you think about Plug's potential market share or the market share opportunity for fuel cells more generally in this part of the market going forward? 
Andrew Marsh: Sure. So you are right. As one of my largest customers tell me, fuel cells are a no-brainer if you're building a new facility because you don't have to put the battery infrastructure in place. Hydrogen infrastructure cost is about on par, plus you get all the additional savings. But I think when you take a step back, a good deal of the work we do, a good probably 60% to 70% is actually associated with facilities that already exist. So when I think about the value proposition, a lot has to do with work, the more work you do, the stronger the value proposition, especially when you're talking brownfield facilities. So anywhere from, I would say, 30 to 35 trucks and up, if you work more than a shift and a half, Plug Power, in many instances can make a compelling value proposition. And so that's why when you start looking at our forecast for 2024, they're looking at doing approximately 20 -- shipping 25,000 units, that still represents a rather small percentage of the market. There's over 6 million forklift trucks out there. So we have a continual opportunity to grow this business well beyond what we've outlined at the Plug Power Symposium. 
Ethan Ellison: Great. Yes, that's really helpful. Maybe one follow-up and just another sort of longer-term growth question. In terms of those locations where there are, I think you said, 35 or more trucks working 1.5 or more shifts. Do you just have maybe some ballpark figures on what size of the market you think that is?
 And then separately, just how do you think about the growth rate of that greenfield warehouse distribution center space longer term, whether it's a longer-term CAGR, maybe in terms of square footage or something? Or just how you think about that market evolving? 
Andrew Marsh: I probably think maybe a little -- to answer your first question, there's about $3.5 million opportunities out there for fuel cells into those type of distribution centers and manufacturing facilities. I probably think more quite honestly about the transition to Internet sales. You have many of the larger retailers today trying to understand how they compete against the Amazons and Walmarts of the world. And the value proposition is so strong there. Whether it's new distribution or old distribution centers, I think we make a rather compelling argument. And I think that even -- I think you're going to see this as the world changes, and you see in traditional retail companies which are really struggling, I think many of those sites will end up -- and sales will end up being taken over by folks who are doing Internet retail sales and, boy, Plug solutions is a great solution for those opportunities. 
Operator: We reached the end of our question-and-answer session. Now I'd like to turn the floor back over to Andy for any further or closing comments. 
Andrew Marsh: We want to thank everyone for taking the time today. I know this is a difficult time for many companies, and when I look at the work our employees have been doing to keep essential business and customers going and the growth opportunities their work has allowed for us in the future, combined with bringing on new teammates in Hydrogen, we strongly stand behind our goals for this year at $300 million in gross bookings, 20% -- $20 million EBITDA as well as the fact that we see our goals for 2024, and are continuing to take the steps to ensure that Plug Power will reach $1 billion in bookings, gross bookings, by 2024, $200 million in EBITDA and $170 million in operating income. So thank you for taking the time today and stay safe. 
Operator: Thank you. That does conclude today's teleconference. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.